Operator: Good day, and welcome to the Cadence Bank Third Quarter 2025 Earnings Webcast and Conference Call. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. To ask a question, you may press star then 1 on a touch-tone phone. To withdraw your question, please press star, then 2. Please note that this event is being recorded. I would now like to turn the conference over to Will Fisackerly, Executive Vice President and Director of Finance. Please go ahead.
Will Fisackerly: Good morning, and thank you for joining the Cadence Bank Third Quarter 2025 Earnings Conference Call. We have members from our executive management team here with us this morning: Dan Rollins, Chris Bagley, Valerie Toalson, and Billy Braddock. Our speakers will be referring to prepared slides during the discussion. You can find the slides by going to our Investor Relations page at ir.cadencebank.com, where you'll find them on the link to our webcast, or you can view them at the exhibit to the 8-Ks that we filed yesterday afternoon. These slides are also available in the presentation section of our Investor Relations website. I would remind you that the presentation, along with our earnings release, contains our customary disclosures around forward-looking statements as well as any non-GAAP metrics that may be discussed. Disclosures regarding forward-looking statements contained in those documents apply to our presentation today. Now I'll turn to Dan for his opening comments. 
Dan Rollins: Good morning. Thank you for joining us this morning to discuss our third-quarter results. It's been another outstanding quarter for our company. I will cover a few highlights, and Valerie will provide some additional detail on our financials. After our prepared comments, our executive management team will be available for questions. We are very pleased to have completed the acquisition of Industry Bank Shares on July 1, as well as the operational integration that just completed last week. Industry and First Chatham are now both fully integrated into our systems and processes, and we are operating as one bank under the Cadence brand. We look forward to the opportunity to grow in Central Texas and Georgia markets that were added through these transactions. Industry was certainly a unique transaction given the size and complexity of their securities portfolio, and it was just a home run on all fronts. Our team did a fantastic job in executing the disposition of 100% of their securities portfolios during the third quarter at a total mark that was less than our estimated mark when we announced the transaction. In fact, virtually all of the purchase accounting marks for Industry came in better than originally estimated. Valerie will cover the purchase accounting items in more detail in a moment. But these improvements are reflected in our quarter-end tangible book value per share declining only $0.12 to $22.82 as the impact of Industry was largely offset by strong operating earnings and improvement in our AOCI. As we look more specifically at our results for the quarter, we had another great quarter from an earnings standpoint. Adjusted net income from continuing operations increased to $152.8 million or $0.81 per share, and adjusted return on assets was 1.13% for the quarter. Our balance sheet growth combined with net interest margin improvement drove a meaningful increase in revenue, and our adjusted efficiency ratio improved to 56.5%. Deposits were up $3.4 billion, with core customer deposits up $3.1 billion due to the influx from Industry. Our teams have done a tremendous job retaining core deposit relationships at all of the acquired banks throughout their transition to our systems. And we look forward to being able to leverage our deposit products and services more fully now that we're past the integration. Loans were up $1.3 billion, with $1 billion coming from the Industry acquisition and over $300 million in organic growth across mortgage and multiple verticals. We did see an uptick in CRE paydowns during the quarter, but our new origination activity continues to be very strong across our footprint. Finally, credit results continue to be in line with expectations, with net charge-offs for the third quarter of 26 basis points annualized and non-performing asset levels and criticized and classified asset levels continuing to reflect stability. And for clarity, loans to NBFIs represent only 2% of our loan portfolio and even less than that if you exclude REITs. We continue to feel confident in that portfolio as well as our overall credit performance. I'll now turn to Valerie. She can provide some highlights.
Valerie Toalson: Thank you, Dan. To add to Dan's comments, our adjusted pretax pre-provision net revenue for the third quarter reached a record $224 million, up nearly 9% from the prior quarter, driven by strong organic performance and the closing of our second acquisition this year. As Dan referenced, the Industry transaction added about $2.5 billion of securities on day one, all of which we sold during the quarter. We used those proceeds to invest back into securities, reduce wholesale borrowings, broker deposits, and certain higher-cost public funds, as well as fund loan growth. As part of the sale of those securities, we also unwound related hedges. The financials, the net result is zero impact, with a $4.3 million securities gain offset by a $4.3 million hedge loss included in other miscellaneous non-interest revenue. There were additional gains associated with these sold securities that we offset through a repositioning of $515 million of our existing portfolio securities at improved yields. Net of all this activity, our securities portfolio grew $780 million in the quarter and reflected an improved mix and interest rate profile compared to the prior quarter and day one acquired assets. Total adjusted revenue of $517 million increased $41 million or 9% in the quarter. Net interest revenue was up $46 million or 12% as a result of the larger balance sheet and improved net interest margin. Our net interest margin improved six basis points to 3.46%, driven by improved securities yields and a decline in overall funding costs. Looking forward, assuming the forward curve impact on our balance sheet, repricing, and growth expectations, we anticipate continued modest improvement in net interest margin through the end of the year and into next year. Loan yields were 6.37% in the quarter, up three basis points due to added accretion, while yields excluding accretion remained steady quarter over quarter. Securities yields improved by 32 basis points to 3.65%, again as a result of the restructuring and purchase activity discussed earlier. Our total funding cost improved seven basis points to 2.35% as we brought down wholesale borrowings, broker deposits, and time deposits repriced. Time deposit costs improved six basis points as new and renewed time deposits in the quarter came in over 26 basis points lower than the total portfolio rate. Adjusted non-interest revenue of $93.5 million was down $4.7 million due largely to mortgage banking revenue from seasonal declines in originations, combined with the impact of MSR fair value adjustments. Mortgage banking revenue before MSR was up 13% however, compared to the same quarter last year, reflecting our expanded production capabilities across our footprint. Our other fee businesses showed continued growth and solid performance in the quarter, with trust revenue declines due to the second quarter trust tax revenue. Adjusted non-interest expense increased $22.8 million linked quarter. Slide 15 breaks out the merger-related expenses by category to reduce some of that noise. Of the quarterly increase in adjusted expense, over two-thirds of it is comp-related, basically reflecting the addition of the new banks, our merit impact beginning July 1, and higher incentive accruals related to performance. Increases in occupancy and equipment expense, deposit insurance, assessment expense, and amortization of intangibles are all directly related to the acquired banks. This slide does a good job of highlighting the success we've had managing expenses, excluding the M&A-related growth and improving operating efficiency. The loan provision was $32 million, including the day one provision of just over $5 million associated with the acquired Industry loans. Our ACL coverage also remained stable linked quarter at 1.35%. I'd like to discuss just a few minutes looking at the updated purchase accounting for Industry. As you may recall, Industry had a unique balance sheet and organizational structure. As we refined our purchase accounting and tax evaluation work during the quarter, we were able to reflect improvement in several of the valuation marks relative to our initial estimates. As shown on slide 17, these improved results resulted in an additional $143 million intangible common equity relative to initial estimates. The largest benefit was an additional $80 million in deferred tax assets that was quantified post-close and that was realized during the quarter in conjunction with security sales. In addition, refined marks on loans, securities, and other assets also contributed to the improvement. All in, these adjustments result in the earn-back on this transaction, coming in closer to just two and a half years. Finally, our guidance for the rest of the year is on Slide 18. We continue to be confident in our performance and in the outlook for our markets, with projected growth and financial results through the end of the year all expected to continue to fall within the guidance ranges we shared last quarter. Operator, we would now like to open the call to questions placed.
Operator: We will now begin the question and answer session. If you are using a speakerphone, please pick up your handset before pressing the keys. If at any time your question has been addressed and you would like to withdraw your question, please press star then 2. We ask that you please limit yourself to one question and one follow-up. We will now pause momentarily to assemble our roster. And your first question today will come from Manan Gosalia with Morgan Stanley.
Manan Gosalia: Hi. Good morning, all.
Dan Rollins: Good morning, Manan. Good to hear from you. My first question is on the guidance slide on Slide 18. Can you talk about the drivers of the slightly lower revenue and loan growth guide? I guess you're pointing to the lower end of the prior range. You know, I know you noted that there's an uptick on CRE paydowns. It feels like organic loan growth might have also been a little bit weaker this quarter relative to last quarter. So I was wondering if that's the reason or if there's anything else that's impacting these numbers.
Dan Rollins: Okay. We can take that one. Yeah. I think that the answer is there's only three months left in the year, and so the timeline is much shorter and so we have a better clarity into where we are. I think if you look at the top end of that range, that would show some pretty good growth in the fourth quarter. And we continue to believe that we've got a good growth machine going. Our plans look good. We'll talk about all of that. I think the issue is, it's just a shorter time period. Valerie, you've got some specifics, I think.
Valerie Toalson: I think you answered it spot on, Dan. The only other thing that I would add is what we've always talked about is that the expense expectations would fall in line with the revenue expectations. And so as we tighten the revenue, you'll notice we tighten the expense as well. And so again, to drive operating leverage as we go into the end of the year.
Manan Gosalia: That's very clear. And maybe on slide 11 with the funding repricing and maturity schedule, I guess the question there is what sort of beta do you expect in the broker and time deposit as rates go down? And also, is there a mix shift you'd expect there as we go through next year? You know, maybe you'd pay down some of the higher-cost deposit with core deposit growth or do you expect that, that funding mix would remain unchanged?
Dan Rollins: Yes. I think the Industry Bank Shares plays a big piece of that. Remember, they were very heavily funded on the CD desk. I think our expectation is, over time, we will be able to improve their deposit mix. I think your question was direct on beta on the brokerage side. The brokerage side is going to be market right there. It will move with the market pretty easily. We continue to want to move the broker deposits out. Our loan-to-deposit ratio went down quarter over quarter because of the deposits that came in with Industry. I think we feel pretty good about our funding source, Valerie.
Valerie Toalson: Yeah. Thanks, Dan. On the betas, we are expecting, you know, our interest-bearing betas get us to about the 50% level. And the total deposits probably between 30s and 40s. The mix shift that Dan talked to, we do have the expectation that over time those Industry will begin to look a little bit more. So when you look at the balance sheet mix of deposits, looking back kind of prior to the acquisitions this year is something that I would consider a little bit over the normal. Time period for our deposits to migrate back to.
Manan Gosalia: Got it. So just to be clear, the 15% sorry. The 50 beta was is is on an organic basis, and in addition to that, there should be some mix shift coming in these higher-cost deposits? Yeah. That's that's fair. Alright. Thank you.
Operator: Thank you. And your next question today will come from Jared Shaw with Barclays.
Jared Shaw: Good morning. Thanks. Hey, just following up on the deposit discussion, is there anything as we look at the mix shift this quarter with the decline in DDA, what's the expectations for DDA specifically? As we go through the rest of the year apart from maybe the opportunity to pick up mix shift within Industry?
Dan Rollins: Yes. I think that you have to look back at a little bit longer time period than just one quarter over one quarter. We had some anomalies in the last couple of quarters that are moving some numbers around. If you look back, we finished year-end 2024 at 21.2% non-interest-bearing deposits. We were at 21.2% non-interest-bearing deposits Q1. Those deposits bounced up in Q2, some of that from First Chatham Bank that had a 30% non-interest-bearing deposit. Some of that from a customer of ours that seems to keep big balances with us at some points in the time period. And so we finished Q2 pretty high. We finished Q3 at 20.6. So from Q1 or year-end last year, 21.2% non-interest-bearing to point 6% is the run rate we've been talking about all along. 21% is kind of where we've been running on. And we've got that one big customer. What impacted this quarter was, remember, Industry's deposits non-interest-bearing deposits were 15% of deposits. So we would have expected to see a rundown from that 21% range a little bit because of their 15% free money on their balance sheets. And then that one customer, Valerie has got some details she can talk about that one customer a little bit. Yeah.
Valerie Toalson: Let me just walk you through some details going back a quarter. You go back to the second quarter, of '25, excluding the $150 million NIB that we added from the First Chatham acquisition. Our non-interest-bearing deposits increased about $450 million period to period. And about $550 million of that was a customer that Dan referred to that periodically has influxes and had some dollars that came into our balance sheet in non-interest-bearing the last week of the quarter and stayed over period end. Otherwise, the non-interest-bearing balances excluding the acquisition deposit for that second quarter, would have been flattish. So then you move forward to the third quarter. We added about $50 million in non-interest-bearing deposits from Industry. And backing that out, you see our period-end deposits declined about $750 million. What that represents is the outflow of that $550 million that was in at the June as well as maybe a 2% to 3% reduction in non-interest-bearing as we saw those dollars migrate into interest-bearing products. As an offset in our total core deposits. I think the big difference is the average balances, obviously. And in the third quarter, that difference was driven by those temporary deposits that came into the balance sheet in the quarter and they were gone at the end of the quarter. Specifically, there was about $2 billion that came in at the July. About half of that left mid-August, and the rest the August. So those added those alone added about $850 million in average balances for the quarter. With the rest of that average balance increased due to the Industry acquisition.
Jared Shaw: So all in all, when you normalize out that temporary influx and the acquisitions, our non-interest-bearing is very consistent, as Dan said, with our quarterly trends consistent as a percent of total deposits. Going forward, these period-end non-interest-bearing and the ratio of total balances, I'd say, are good levels to consider as a base. Periodically, we may have this customer bring some dollars in and out, but right now those dollars are out. And so it's a foundational base. I would expect that on a go-forward basis. Hopefully, that's helpful to you.
Valerie Toalson: Yep. Other thing that I would add is Manan's question. I don't think I answered it on the brokered. We expect that brokered to run off as, you know, we can pay that down with investment cash flow. The bulk of those balances actually in the fourth quarter.
Dan Rollins: Yes, we're fortunate to have good customers that trust us with their balances. And this customer has been our customer for decades. And it seems like on an irregular basis, they have a lot of cash that flows in and it sits in our bank for a while while they decide what they want to do with it. So we like good customers like that.
Jared Shaw: Okay. Thanks. That's really helpful. I guess as my follow-up with these deals now closed and integrated, and the benefit from the lower purchase accounting marks, the capital is really, really strong here. What should we think of sort of a good capital level or a base capital level that you're trying to manage to? And what are some of the thoughts, I guess, on buyback versus additional deals from here?
Dan Rollins: Yeah. I think we want to continue to be good stewards of the capital that we have. So I think we'll continue to execute on our plans. We said last quarter that we needed to build capital after the transaction. We did that already. We made some great changes this quarter that helped us on that front. So I think that puts us back in the buyback game much faster than we thought before. And I think we continue to look for opportunities to use capital and to grow. Number one is core organic growth and number two, be doing something inorganic.
Operator: And your next question today will come from Casey Haire with Autonomous. Please go ahead.
Casey Haire: Thanks. Good morning, everyone. Wanted to touch on deposits in the quarter. You guys so the deposits were up 3 and a half billion. Industry was a 4 and a half billion dollar franchise. It sounded like the core the legacy deposit franchise was pretty stable. Just wondering what was driving you know, what what happened to a billion of of the Industry deposits? And then any color on Dan, as you mentioned, it's heavily CDs. Any color on your ability to price them down and retention rate?
Dan Rollins: Remember, their cost of CDs was actually equal to or lower than ours. So I don't think their pricing structure was wrong. And I think your numbers are off a little bit. Valerie, you want to walk through that?
Valerie Toalson: Yeah. I think it might be helpful if you go on to page 20 of the slide deck, if you have that in front of you, Casey. We lay out the alone, addition of the bank shares and the organic change. And you can see in the organic change column, we actually paid down broker deposits $500 million in the quarter. Those public fund dollars that left, those were dollars that we actually that were higher-cost public funds associated with the Industry transaction that we intended on leaving. We talked about that in the second quarter. And they did leave in the third quarter. And then you can see that the core organic was actually flat. When you looked at what Industry brought on versus where we ended the quarter, it was very, very stable. So both Industry and First Chatham did a fantastic job of keeping all those deposits stable throughout the transition. And so there wasn't movement of that magnitude out of Industry. Does that help clarify? The other thing to keep in mind is also that on interest.
Casey Haire: I missed that, Scott. I'm sorry. But you said you missed that. Yeah. I did. Sorry. I missed that slide. I see it. It's all laid out there. My bad. And just just following up on the on the NIM, think, Valerie, you said that you expected to be up going forward. Just wondering what does that presume in terms of purchase accounting adjustments going forward?
Valerie Toalson: Yes. So the accretion this quarter was $5.5 million. It's projected to steadily decline as we go forward. So for example, next quarter, it's projected at about $4 million. And then for all of '26, about $12 million. And so you can see that's going to steadily decline. So that's not what's driving the NIM improvement. What's driving the NIM improvement is what it has been. It's the fact that we're bringing on new loans at greater than the portfolio rate. It's the repricing of the variable and fixed-rate loans, and it's the bringing down of the deposit cost. All of that is supporting that NIM improvement.
Casey Haire: Gotcha. Thank you.
Dan Rollins: Thanks, Ben. Thanks, Casey.
Operator: Your next question today will come from Ben Gerlinger with Citi. Please go ahead.
Ben Gerlinger: Hi. Good morning. It seems like it's a bit of a seller's market right now, the bank M&A. We're seeing some smaller transactions. In or around your footprint that you're the S4, you're seeing multiple bidders. So it kind of know that organic growth is a top priority for capital, and since you've kind of rebuilt with the accounting, to your benefit here, any conversations you might be having or is the bid ask too wide? Get me wrong. Like, doing two deals already this year is quite a bit. So I don't mean to my saying you're not doing a lot, but it seems like M&A is always on the front burner. You guys. Just any conversation you might be having or how sellers are viewing a bid ask spread.
Dan Rollins: Yeah. I appreciate that. I think we continue to have opportunities in front of us. So when you look at our footprint today, look at what we've been able to do this year, announcing closing, integrating the two transactions that we've been able to do this year, the team has been very busy as you can imagine. But there will continue to be opportunities. We're in a consolidating industry. We like the position we sit in today. And I think we'll be able to take advantage of the market.
Ben Gerlinger: Gotcha. But helpful. Kind of expanding on that a little further, you have a pretty substantial geography in terms of opportunities within MSAs. More you could kinda theoretically go back to the legacy BancorpSouth. We're really, really sticky deposit franchises. Is there one way you'd typically kinda lean if you have the opportunity? Is it more growth? Or is it more deposit focused?
Dan Rollins: Yeah. No. I don't I think that we've always looked for opportunities. So when you look at the two transactions we closed this year, Industry transaction is smaller markets, as you call them, stickier deposits, a good core customer base that's been with the bank for a long, long time, I think the team that's been on the ground there, we had 300 and some odd people out for the last two weeks out of their home branches into the markets where Industry's 30 some odd branches are. Really good reception from customers there. Team has done a fantastic job of talking to customers and making that everybody is taken care of. There's really no difference in that to us. Versus the higher growth markets like Savannah from the First Chatham tremendous opportunities to grow further into that market because of the growth opportunities there. They bring different things to us. And so it's really the opportunity that brings themselves the opportunities that bring themselves to us.
Ben Gerlinger: Gotcha. That's helpful. Thank you.
Operator: And your next question today will come from Catherine Mealor with KBW. Please go ahead.
Catherine Mealor: Hey. One on hey. Good morning. One follow-up on the margin. I know you did a lot in the bond book this quarter and we saw a big jump into yield. But curious if there's any insight you can give us into maybe the kind of where that yield was at towards the end of the quarter just so we could kinda fully appreciate maybe what a full quarter's impact would be from all the restructuring you did this quarter.
Dan Rollins: That's a good question. Yes. Well, I think.
Operator: Can you do you lose Valerie? Am I still on? Pardon me, ladies and gentlemen. It appears we have lost connection to our speaker line. Please standby while we reconnect. Thank you for your patience. Pardon me, ladies and gentlemen, I reconnected to the main speaker line. Please continue.
Dan Rollins: Okay, Larry. Answer that question again.
Valerie Toalson: You can hear us now. We'll go in again. Yes, Kathryn, that's a great question. We had about $1 billion that we reinvested after selling the securities from the Industry acquisition. And then we had the addition of $550 million that we repositioned of our existing securities book. So all in, about $1 billion of say, new securities, if you will, this quarter. Those came in at about a 5.2% yield. So that'll be helping out that overall securities yield, which actually increased during this quarter as well. The securities that we bought after Industry, those were bought probably by mid-July. The restructuring didn't occur until later in September. So there'll be a little bit additional bump as we go into the next quarter.
Catherine Mealor: Okay, great. And then would you expect to continue to grow the bond book as we move through next year? How do we think about I know we can look at what loan growth will do, but how do you think about the bond book with an average earning asset growth?
Valerie Toalson: Yeah. So we kind of like where it is as a percent of total assets. That being said, we've also got flexibility there. Where we could add a little bit depending on what the rest of the balance sheet does, but it could also as we show in some of our slides, the cash flow that comes off that portfolio was pretty significant as well. And so it can also serve to be a funding mechanism should we need it. So it's we'll probably stay somewhere between 15-20% of total assets. And really, that's going to depend on the loan growth outlook, etcetera.
Dan Rollins: We challenged the team to fund loan growth with core deposit growth.
Valerie Toalson: Yeah, exactly. That's the preferred method. And if that was the case, then we would certainly be reinvesting and adding a little bit more into security specs.
Catherine Mealor: Okay. Very helpful. Thank you.
Dan Rollins: Thank you, Catherine.
Operator: And your next question today will come from Michael Rose with Raymond James. Please go ahead.
Michael Rose: Hey, good morning. Thanks for taking my questions. Maybe we can just start on expenses. So I think the guide would imply a little bit of build next year, but you still have as we think about 2026, you still have about 75% of the cost saves. From Industry still to kind of be realized. Can you just I'm not asking for explicit guidance, but can you just give us kind of a starting point for expectations as we start to think about 2026 expenses? I mean, obviously, there's gonna be merit increases. There's seasonal impacts, things like that. I know health care costs are going up for a lot of banks, but you do have these cost saves. At the same time, I assume you're still reinvesting in the franchise. So we just love to frame out the puts and takes.
Dan Rollins: I appreciate the questions, Michael. I think from a where we stand cost save wise, I don't think you have any cost saves in the numbers that you see yet. I mean, we firstly we ran the quarter. There's a little bit, but also had some old First Chatham expenses still in there. So you've got some pretty good cost saves that we will continue to execute on in 4Q. I think 1Q becomes a run rate quarter that you would want to see on a go-forward basis with the cost saves in. Off of that 1Q, base quarter, then what's the build, I think, is what you're asking?
Valerie Toalson: Yeah. And I think what you walked them through, Dan, is exactly right. We really don't have those cost saves for Industry in the fourth quarter at all. We just completed the conversions. And so those will be flowing through most significantly through 2026. As typical, but that's you know, we will preside or present our twenty-sixth guidance when we do our end-of-year earnings. So that's when we'll kind of lay it all out. But I think if you just think about it from a broader spectrum, we do anticipate continuing to build operating leverage as we go into next year. And that's really driven by the strong revenue growth and the good loan opportunities that we see across our footprint as we continue into next year.
Michael Rose: Okay. That's helpful. And then maybe if I can just go back to the slide deck from when the deal was announced. On Slide 12, you had pro forma EPS reconciliation for 'twenty-six and 'twenty-seven. I know things have changed, obviously, that was based on consensus. At the time. But maybe, Valerie, if you can just walk us through maybe some of the major changes just to summarize those and maybe how we should think about the build. From the deal? Thanks.
Dan Rollins: Yeah. He's on the deal slide deck, Valerie. So you're talking about the changes that we saw. So the biggest one was the deferred tax asset piece. Was the biggest piece. So we thought there was a little bit of a deferred tax asset. We modeled that in. As we worked with our tax folks and our internal team did an absolutely fantastic job. I want to brag on the folks that were involved in that. A lot of work went into understanding all of the pieces that were there. That was an $80 million pickup that came through the deferred tax asset piece. And then the other components, whether it was the loan mark or the credit mark or all the different pieces that came through resulted in about $140 million improvement on the capital side of that. Can turn that into the income, I think is what he's trying to do, is figure out what that does on an income statement side, Valerie.
Valerie Toalson: Yes. So and we laid all that out for you, Michael, on slide 17. You can see the changes there. So you can see the piece that was the interest rate on loans. The actual interest rate mark on the loans was very pretty flat. The securities mark, we actually sold all those securities and so there's not anything forward-looking on that piece. And so from an actual income standpoint, there's not a lot of change. But it absolutely helped day one tangible book value.
Michael Rose: Okay. That's exactly what I was looking for. Thanks for summarizing that. Appreciate all set back.
Dan Rollins: Yeah. The team did a fantastic job on this transaction.
Operator: Your next question today will come from Stephen Scouten with Piper Sandler. Please go ahead.
Stephen Scouten: Hey, good morning. Thanks. So you guys have had an extremely active busy couple of years with the insurance sale, restructuring, couple deals. How do you think about kind of major strategic initiatives from here? Or is it more just a block and tackling on what's been built out? And if it was additional M&A, would you look for more market extension or more in-market type of deals? We've been very consistent on the answer to that question.
Dan Rollins: Steven. I think we like the nine states we're in. We don't see a whole lot of need to stretch outside of that. We want to have more mass, more density within the states that we serve. We like the Southeast. We like Texas. We continue to look for opportunities to expand in that footprint. Again, we're really proud of the fact that we've been able to announce, close and integrate two transactions in this calendar year so far. And continue to believe there's opportunities in front of us.
Stephen Scouten: Okay. Great. Appreciate that, Dan. And then you commented earlier on the 2025 guide that it implies a pretty strong growth rate here in the fourth quarter organically. It looks like kind of mid to mid-high single-digit growth implied in that guide. Is that kind of the right way to think about '26? I know you're not giving '26 guidance currently, but is that the kind of expectation that you guys would have as of today for what's a palatable growth rate? And what kind of gives you confidence in that, whether it's pipeline growth, customer demand? Any color you can give there around customer behavior?
Dan Rollins: Yes. Great questions. Thank you for asking that. We certainly want to talk about the pipeline today. Chris and Billy can add in on where we stand on some of that. The markets the big server, good. There is strong market activity. 4Q is typically a strong market. We see lots of activity coming in. The tax law changes are driving some business our way. Which one of you guys wants to take the lead on this? Yes, I'll start.
Chris Bagley: You're right, Dan. Pipelines are solid. They're diverse. There's what I like about it. It's across all of our C and I segments geographically. It's within all of our groups, verticals, energy as well. The only place where we've seen a little headwind is from paydowns in CRE, which we've been expecting for a number of years. This is on the 21-22 vintage merchant loans that were out there. So we're seeing some of that activity. Most of that's payoffs from private credit. But for longer-term pipeline, I mean, right now, the pipeline is supporting, you know, in excess of what our budget was for the year. So that feels nice. And even Q3 versus Q4, I mean, we had lots in the Q3 pipeline. Some of it fell into Q4 as it always can happen from a first few weeks look pretty good. Yeah. From trying to pinpoint an actual date. So I like the diversity that's there and it's widespread. So I would say it continues to support, you know, our thesis.
Dan Rollins: Yeah. And all lines are growing. When you look at what's happening out there, all business lines, the whole geography, everything is running well, Chris?
Chris Bagley: Yeah, just to add a little color, I mean, community banks the same way. You're seeing, you know, one of the I think, one of the positives is we just have a lot of leverage to pull. So you've seen growth from market. You've seen growth from the community bank, and you've also proud about the acquisitions. I think there's opportunity there. The transactions that have joined us, I think they've got a new set of products and higher lending limits, and I think you're gonna see them hit the ground running next year as well. Yeah. Our number one product in the community bank was not offered by either one of those banks on the loan desk. Or the deposit desk.
Stephen Scouten: Interesting. Okay. Great color. Thanks for all the time and attention. Congrats on the progress.
Dan Rollins: Thank you. Appreciate it.
Operator: Your next question today will come from Matt Olney with Stephens. Hey, good morning. Thanks for taking the question. Just kind of on that last topic there around loan growth and pipelines, just looking for any kind of color on loan pricing, loan competition in recent weeks and months in the Community Bank and the commercial bank. Thanks.
Chris Bagley: I'll start off. I think it's competitive out there, but you see it in our yields that we've booked. So the yields have been holding in there. I think especially on the community bank side, spreads have tightened on some transactions, mostly on the software-based things and in certain verticals. You see some tightening there, but I think all in, we're able to keep our yields up right now. Yeah. The new renewed loans for that third quarter actually came in about 6.85%. So we feel pretty good at that.
Matt Olney: Okay. That's all for me. Thanks, guys.
Dan Rollins: K. Thanks, Matt. Appreciate it.
Operator: Your next question today will come from Brett Rabatin with Hovde Group. Please go ahead.
Brett Rabatin: Hey, good morning, everybody. Wanted to ask about Slide 10. And when you look at the one to three years bucket, the yield on that piece is a little lower even though a lot of that portfolio is variable. Can you guys just talk about that bucket? And I know it's not a huge piece, but it could be an incremental driver for yield on the loan portfolio and just is that weighted more towards the one or the three years in terms of the duration?
Dan Rollins: Which column are you in again just one more time? The one to three-year column? Yeah. Yeah. One to three.
Valerie Toalson: So, yeah, basically, what that includes when you refer to the floating and variable, that'll include also loans that are fixed for a period of time that then switch to floating after a three, five, seven-year period. And so this bucket for the originations includes more of that, and that's for some that were produced at an earlier date. And that's why it has the five forty-six average rate. So yes, you're exactly right. As we look out into next year, there's a decent at least from where our new and renewed coming on at six eighty-five versus that five forty-six, that's a pretty strong delta right now. That may shrink a little bit depending on where rates go over the next few quarters, but it's still a nice delta that we should continue to gain benefit from.
Dan Rollins: Allows us to reprice loans up even in a down rate environment.
Brett Rabatin: Exactly. And so just following up on that, Valerie, is that weighted more towards the one or the or closer to three years in terms of the maturities there?
Valerie Toalson: Yeah. I don't have that information in front of me right now.
Brett Rabatin: Okay. No worries. The other question I wanted to ask was around credit, and credit continues to behave well for you guys. People have been talking about cockroaches, but you guys didn't see any. But there was some movement in nonaccruals, down downdraft in C and I and an uptick in income-producing CRE, you know, might have been lumpy, any thoughts on the movement in the nonperformers?
Dan Rollins: I think what we're seeing is just a normal migration that we talked about for the last couple of quarters. I don't see anything in there that's too exciting. Chris, I know you want to talk about some of.
Chris Bagley: Yeah, I mean, Dan said it's normal course of business as we work through different credits. You're right. Some of it was in the CRE book. This quarter, which we've identified the credits there that have great loan to values. We're not anticipating losses there. Now remember that the nonperforming book they a large number of that's SBA guaranteed loans, so, you know, you need to kind of adjust that when you think about the non-performing.
Dan Rollins: I think overall if you wanna add we look at credit today, you know, we're watching the same thing you're seeing. We're seeing some of the talk in the market. We don't have a whole lot that we're getting too excited about here.
Brett Rabatin: Okay. That's helpful. Thanks for the color, guys.
Operator: And your next question today will come from Jon Arfstrom with RBC Capital Markets. Please go ahead.
Jon Arfstrom: Hey. Thanks. Good morning.
Dan Rollins: Hey, John.
Jon Arfstrom: Hey, Billy, maybe one follow-up for you. You talked a little bit about the paydowns and the vintages. Are you saying you expect the paydown activity to start to slow? Is that the message you wanted to send them that?
Chris Bagley: No. You know, what I'm and this is CRE specific. Right? So there's a volume across the industry. I mean, it was a heavy origination period in '21 and 2022. The payoffs have actually delayed longer than we anticipated. They're starting some, but they're not because of sale activity. For the most part. It's because of ridge refinance activity, you know, 50% of the payoffs in CRE, that merchant CRE was from bridge payoffs from private credit. We'll continue to see some of that. We'll provide a little bit of that. As well. So don't see it necessarily slowing. The good news is you know, the twenty-four and twenty-five vintage originations are gonna start funding to offset some of that. So that's where you might see it mute is that is those construction loans start funding. If we could draw perfectly, the lines would cross at the same time. Unfortunately, we can't draw perfectly.
Jon Arfstrom: Okay. Okay. Good. And then just bigger picture on the fee income businesses. Is there anything you guys would call out this quarter one way or the other? I understand the wealth management piece and the MSR piece, but you know, just help us with, you know, what's the wealth strategy? What's the more banking strategy, and anything you would call out that was particularly favorable this quarter?
Valerie Toalson: You know, I would just say on the mortgage, you know, it's a typical seasonal dip that we see in the third quarter on the standpoint. But if you look back year over year, it's actually up 13%. And so that's indicative of the commitment that we have to that business. And the fact that they've been adding to talent in key markets across our footprint and we expect that to continue. If rates in addition to that, kind of organic flow, if you will, if rates get something with a five handle on them, we would also expect to see a lot of refi activity. And so that would certainly drive up some changes there. On the wealth side, we continue to do very well. I actually just talked to the leader of our Cadence Investment Services earlier today. And he said September was their highest revenue peak. And they looked to be continuing that growth into the fourth quarter. We just continue to do well. That's a strong business for us. We think that for the industry, it's actually a growing area of business. Certainly, there's a lot of wealth transfer that's going to happen in the next several years, and we want to be there to capture it. So, yeah, we're pretty bullish on those fee revenue categories. Was one item this quarter that I wanna make sure is clearly understood. We had the securities gains of $4.3 million.0 and then also we had an offset of a negative $4.3 million.0 in other non-interest revenue that we called out related to unwinding the associated hedges. So the net impact on the P and L was zero. But if you're just looking at some of those fewer numbers, may not see that. So I just wanted to call that out.
Dan Rollins: I think on the wealth side, though, I'd just add to that that your team has hired two really good folks to join just this last quarter. In the Houston market and the Atlantic market. And yes. We're investing in wealth and we're excited about what the new folks will be able to help us do.
Jon Arfstrom: Okay. Alright. Thank you.
Operator: And your next question today is a follow-up from Ben Gerlinger with Citi. Please go ahead.
Ben Gerlinger: Hey, Ben. Appreciate the follow-up. Just wanted to follow-up on the one client has a pretty substantial deposit relationship with you guys. Any potential clarity on when they might refill? And then what do you lend against them, or is it just a securities position?
Dan Rollins: It's just a this is a customer that we've had for literally decades. And they have cash flows that come sporadically. We don't always know when that money is going to flow in. It's just a great customer that parks deposits with us for a while.
Ben Gerlinger: Gotcha. Okay. Appreciate your time, then congrats, Dan, on the chair position of the India.
Dan Rollins: Thank you very much. Appreciate it.
Operator: This concludes our question and answer session. I would like to turn the conference back over to the management team for any closing remarks.
Dan Rollins: Thank you all for joining us this morning. I sure you can sense the excitement in our team shares around the financial results we've delivered combined with the opportunities that lie ahead. Looking back, our year-to-date performance has shown an ongoing cadence of progress, including the announcement closing and integration of two strategic acquisitions, meaningful organic growth, and continued improvement in performance. These accomplishments reflect the strength of our talent, both the front and the back office, and our commitment to serving our customers and communities. Thank you all very much for joining us today. This concludes our call. We look forward to visiting with you all again.
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.